Operator: Good day, and welcome to the AlerisLife Inc. Third Quarter 2022 Conference Call. [Operator Instructions] Please note this event is being recorded.  I would like now to turn the conference over to Michael Kodesch, Director of Investor Relations. Please go ahead.
Michael Kodesch : Thank you. Welcome to AlerisLife's Third Quarter 2022 Conference Call. The agenda for today's conference call includes a presentation by Jeff Leer, President and Chief Executive Officer; and Heather Pereira, Chief Financial Officer and Treasurer, followed by a question-and-answer session with research analysts. I would like to note that the transcription, recording or retransmission of today's conference call is strictly prohibited without the prior written consent of the company. Today's conference call contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and other securities laws. These forward-looking statements are based on AlerisLife's present beliefs and expectations as of today, Thursday, November 3, 2022. The company undertakes no obligation to revise or publicly release the results of any revision to the forward-looking statements made in today's conference call other than through filings with the Securities and Exchange Commission or SEC regarding this reporting period. Actual results may differ materially from those projected in any forward-looking statements. Additional information concerning factors that could cause those differences is contained in our filings with the SEC. Investors are cautioned not to place undue reliance upon any forward-looking statements. In addition, this call may contain non-GAAP numbers, including EBITDA, adjusted EBITDA, adjusted net income and adjusted earnings per share. Reconciliations of net income to these non-GAAP figures and the components to calculate them are available in our quarterly results news release or investor presentation available on our website at alerislife.com. I will now turn the call over to Jeff.
Jeffrey Leer : Thanks, Michael. Good afternoon, everyone, and thank you for joining our third quarter conference call. In the third quarter, occupancy increased 180 basis points sequentially across our Residential segment, which included a 290 basis point increase in our owned portfolio and a 160 basis point increase in our managed communities. The growth in the third quarter was our largest occupancy increase in recent years. Further, we were pleased to outpace the senior housing industry as reported by NIC, which showed third quarter sequential occupancy growth of 100 basis points in primary and secondary markets. In addition to the strong occupancy growth, RevPOR also experienced a quarter-over-quarter increase resulting in RevPAR growth of 9.4% in our owned portfolio and 4% in our managed communities. These results are directly attributable to our short-term focus and operational improvement and occupancy growth across our Residential segment, primarily through enhanced investment within our sales and marketing programs. This includes an overhaul of our sales incentive program which better aligns our goals with those key personnel in mission-critical sales functions. Additionally, based on Alvarez and Marsal's now concluded review of our operations, we have begun retooling our marketing strategy and established a centralized sales function to support the focus on sales and marketing efforts. These investments in sales and marketing delivered observable benefits as we increased occupancy by accelerating move-ins, improved tour to move-in conversion ratios and shortened the closing process. Lead volume accelerated 9.3% this quarter from the sequential quarter, and our conversion rate improved by 200 basis points over second quarter results. We appreciate the commitment and performance of our regional and corporate teams this quarter and expect continued execution on this front, which will position our company for long-term success. Over the past few months, we've made two key leadership hires to bolster these strategies and continue delivering improvement across our portfolio. In September, we hired Heather Pereira as Chief Financial Officer and Treasurer. Heather brings a wide array of accounting and management experience to AlerisLife, and I expect Heather to be instrumental in leading organizational transformation by optimizing the corporate infrastructure and maximizing efficiency. More recently, we significantly enhanced our depth of senior living industry expertise with the hiring of Phil Benjamson as Chief Operating Officer, who will oversee the execution of our operational recovery strategy. With these two hires, we now have fully assembled our leadership team. Turning to operating expenses. We expect that third quarter expenses will be higher, mainly driven by widely reported inflation that affects every facet of our owned community portfolio and corporate functions. In our owned community-level operating expenses increased 12.9% largely driven by wage, utilities and food cost inflation. The near-term downside of increasing occupancy at our current pace often requires short-term contract labor to backfill care requirements. We remain immensely focused on driving a decrease in employee turnover and reducing open positions to reduce this need, as the moderation of contract labor will ultimately help offset the pace of wage inflation we are seeing across our business. This quarter, across our entire Residential portfolio, employee turnover decreased slightly to 17.6%, and open positions fell by over 200 basis points to just over 11% by quarter end. As we focus on operational efficiencies and stabilize workforce to meet growth demands, we expect to see contract labor moderate in the fourth quarter and decline more substantially in 2023. Alvarez & Marsal's review helped identify other key opportunities for reducing, not only labor costs, but also other key areas to produce expense efficiencies. Over the next couple of quarters, A&M's recommendations will continue to be rolled out, including incremental alignment of sales, marketing, clinical, and resident programming under a national operations support function, implementing labor opportunities, both at the corporate level and within key functional areas of the communities we own and manage, and driving efficiencies in the food services we provide. Finally, I want to touch on our Lifestyle Services business, which gained 1 net new outpatient location in the quarter. Despite increasing caseloads, as a percentage of occupancy, recent policy regarding government-assisted programs such as the reduction of Medicare and Medicaid reimbursement have put pressure on our ability to drive results at our legacy rehabilitation clinics. As we have mentioned in the past quarter conference calls, we are retooling our business to drive efficiencies and increase the profitability of the services we provide. This includes introducing a more scaled approach to the therapists and labor providing these services by utilizing our geographical network of communities and maximizing output for each therapist we employ. As a result, we expect the new structure will help reduce overall start-up costs, drive increased utilization and shorten the location stabilization period. To date, we have rolled out 11 of these networks and expect to continue growing our Ageility business in this regard. I will now turn it over to Heather Pereira, who will review our financial results for the quarter.
Heather Pereira : Thanks, Jeff. In the third quarter, management and operating revenues were approximately $41.5 million, an increase of $1.8 million or 4.6% from the sequential quarter. Our Residential segment reported total management and operating revenues of $27 million, an increase of approximately $2 million from the second quarter. Revenues from both the owned and managed communities increased in the quarter, as we grew RevPAR across these portfolios sequentially. Additionally, third quarter construction management fees were approximately $900,000, which represented a slight increase from the second quarter, as we deployed $29.3 million of capital on behalf of the managed portfolio this quarter for routine community capital improvements. We expect to deploy approximately $33 million of capital on behalf of the managed communities in the final quarter of 2022. As we look ahead, while we expect occupancy and RevPAR to continue growing in the communities we manage on behalf of DHC, we expect some of this growth to be partially offset by the impact of Hurricane Ian. While the vast majority of our Florida communities fared well through the hurricane, a 380 units managed, independent and assisted living community in Fort Myers saw significant damage, which we expect to temporarily impact the property and the management revenues we receive from the community. The occupancy loss at this community, however, was partially absorbed by communities in proximity to this location, which should help offset this short-term headwind. Turning to Lifestyle Services. As Jeff discussed in his prepared remarks, location and daily visitation levels continue to trend upwards, and we added 1 net new location this quarter. Despite this momentum, Lifestyle Services revenues were $14.5 million, approximately flat to the sequential quarter, as efficiency losses due to investments and process improvement offset the growth from new clinics and increased utilization. Looking ahead to next quarter, we expect the continued rollout of the Ageility go-to-market structure to continue increasing net locations over the next few quarters. General and administrative expense for the third quarter was $17 million, which includes $3.4 million reimbursed by DHC. As a result, excluding these reimbursements, our net G&A expense was approximately $13.7 million, which represents a decrease of $900,000 or 6% from comparable second quarter net G&A expense. We expect to incur additional restructuring costs in the fourth quarter. As Jeff mentioned, we expect to continue evaluating opportunities in our corporate structure and have begun implementing the recommendations made by Alvarez & Marsal to streamline our processes, and we anticipate a reduction in general and administrative costs going forward. For the third quarter, we reported a net loss of $8.5 million or $0.27 per share compared to the loss of $8.8 million or $0.28 per share reported in the second quarter. Adjusted EBITDA for the quarter was negative $0.5 million, an approximate $800,000 improvement compared to the previous quarter. At quarter end, we had approximately $79.1 million of unrestricted cash on our balance sheet. Excluding CapEx and nonrecurring impacts such as severance and consulting fees, cash flow from operations was approximately flat during the third quarter. Additionally, throughout the remainder of 2022, we expect to invest up to $5 million in our owned portfolio and $500,000 for investments in technology. That concludes our prepared remarks. Operator, please open the line for questions.
Operator: [Operator Instructions] Our first question comes from Andrew Seader from B. Riley Financials.
Andrew Seader: This is Andrew. I'm in for Bryan. My first question is, it seems that ALR's owned communities run a higher occupancy than the managed properties. Why is that?
Jeffrey Leer : Andrew, this is Jeff. So the reason why we're seeing a faster improvement in occupancy at our own portfolio is we continue to see demand for more needs-based care. And if you look at our mix of communities and units, our level of service is more weighted, 60% of our portfolio is weighted to assisted living versus independent living. And when you compare that to the managed, the managed portfolio has about 36% of its portfolio into the assisted living, and 55% is in the independent living or more choice-based product.
Andrew Seader: Okay. A couple more for me. What can be done to drive down expenses more over the near to intermediate term?
Jeffrey Leer : Yes. As I stated on the call, I think what we have to really focus on is on our labor efficiency and filling key positions and reducing our contract labor and that will really help significantly bring down our labor costs.
Andrew Seader: Okay. Can you give us a little more color on your current sales strategy and conversion success?
Jeffrey Leer : Sure. So we've implemented a revamped investment in our marketing in our national operations footprint by creating centers of excellence within a sales strategy as well as marketing, focused predominantly on digital marketing campaign, expanding relationships with paid referral sources and also reassessing our resident team member referral programs to increase our lead volume into the communities. And then from a conversion strategy, with the implementation of our center of excellence of sales, 1 of the main support structures we've invested in is a strategy on conversion. And how do we make sure that we maximize our tour to sale conversion rate.
Andrew Seader: All right. And the last one for me is, is the recent trajectory of occupancy growth sustainable over the next several quarters even with the potentially weakening economy?
Jeffrey Leer : Yes. I think what we are seeing, at least through October and early November, is we're still seeing tour volume and lead volume very consistent with what we have seen over the last couple of months. I would say the demographics really play in our favor, with -- if you look at the 80-plus demographic is at a growth rate of just over 3.5%, whereas in the prior 5 years, it was about 2%. So we're seeing an aging population that will likely need our services. And in addition, I still think you'll see it more in the needs-based in the short term versus the choice-based product. And so I think that's -- we'll continue to see demand come in.
Operator: [Operator Instructions] It appears that we do not have any further questions, so the conference concludes here. Thank you very much for attending today's presentation. You may now disconnect.